Operator: Good day, ladies and gentlemen and welcome to the Q2 2018 Gannett Company Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference may be recorded. I would now like to turn the conference over to your host, Vice President, Financial Planning and Investor Relations, Stacy Cunningham. Ma'am, you may begin.
Stacy Cunningham: Thank you. Good morning everyone, and welcome to Gannett's Second Quarter 2018 Earnings Conference Call. As a reminder, this call is being recorded. Joining us today from Gannett are Bob Dickey, President and Chief Executive Officer; Ali Engel, Chief Financial Officer; and Sharon Rowlands, President of USA TODAY NETWORK, Marketing Solutions and Chief Executive Officer of ReachLocal. Before we begin, I would like to call your attention to our Safe Harbor provision for forward-looking statements in our financial results press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the contents of our forward-looking statements. For a more detailed description of the risk factors that may affect our results, please refer to our financial results press release and our SEC filings, including our 2017 Form 10-K. Also, during this call, management's commentary will include non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in the tables of our financial results press release, which we have posted to our Investor Relations website at investors.gannett.com. This conference call is being webcast and is also available through the Investor Relations website. With these formalities out of the way, I'd now like to turn the call over to Bob Dickey.
Bob Dickey: Thanks, Stacy. We are pleased with our second quarter results that are evidence of our digital transformation progress and solid execution from our marketing solutions and consumer organizations. I’m going to start by giving you some highlights from the quarter, then I'll turn it over to Sharon for an update on ReachLocal and Ali will conclude with our detailed financial results. As expected, our digital advertising and marketing services revenues are showing solid growth; led by the national digital media and digital marketing services categories. Digital advertising and marketing services revenues comprised 46% of total advertising and marketing services revenues in the quarter and we should cross the 50% threshold later this year. We had steady growth in our ReachLocal segment and delivered a 10% margin in the quarter, ahead of our expectations as the business continues to benefit from increased scale across our broader local client base. While our print advertising business remains challenged, our first half of 2018 performance was consistent with the second half of 2017. And within the consumer organization we continue to ramp audience traffic and growth engagement. Our most recent full access subscriber pricing initiative that began in September of last year continues to deliver results that are in line with expectations. On the M&A front, we were pleased to close the WordStream acquisition on July 2 and welcome the WordStream team to Gannett. The addition of WordStream’s do-it-yourself software-as-a-service solutions combined with our ReachLocal solutions will enable us to provide a comprehensive, full range of digital marketing and solutions to help businesses and agencies in our local markets, drive growth with intelligent, data-driven marketing solutions. We remain very excited about the large and growing opportunity in the local digital advertising and marketing services market. Given the strong start to the year and with the continued momentum in our digital advertising revenues and the acquisition of WordStream, we're pleased to be raising our full year adjusted EBITDA guidance, which Ali will discuss in more detail. Now I'd like to update you on the key initiatives within our marketing solutions and consumer organizations. Starting with marketing solutions. The team delivered very strong digital results as we continue to realign our sales structure. On the local front, as a reminder in Q1, we completed the sales leadership and pre-sales organizational changes. During the second quarter, we focused on rationalizing our post-sales organization and setting up an SMB call center for our smallest clients. We made some additional headcount reductions and a large majority of accounts have now been migrated to the appropriate sales channels. Overall, our sales transformation has resulted in annualized cost savings of about $30 million. As we look to the second half of the year, we are focused on creating sales packages and solutions that leverage the broad-base of Gannett’s technology and data assets. We are confident our transformation will better position our sellers. There's a clear focus on specific client segments and more streamlined pre and post sales processes. We are particularly excited about the SMB call center opportunity, which we believe will help significantly reduce churn in our smallest accounts and capture more share of digital dollars in our local markets. These accounts are a perfect fit to offer starter digital packages that leverage ReachLocal’s suite of marketing service products. On the national front, we reported strong double digit year-over-year in digital media revenues with advances in video, high impact digital display, branded content and sponsorship. The team is focused on delivering strong growth in the second half, fueled by opportunities such as the new video partnership with Twitter that will allow us to sell ads against our content, while also allowing us to reach new audiences. Turning to the consumer organization, we had another quarter of impressive audience growth. Our comScore unique were up 14% year-over-year, averaging 125 million. We are experiencing very strong mobile growth on both our owned and operated sites, as well as via our distributed content partnerships with Google App, Apple News, MSN Video and YouTube. We are also focused on growing audience across social channels. During the quarter, we launched our third kind franchise; Militarykind, which joins our other social video brands, Humankind and Animalkind. Militarykind shares inspiring stories of members of the U.S. Armed Forces sourced from across the USA TODAY NETWORK or via user submissions. Militarykind quickly gain 1 million Facebook followers, and over 200 million video views with an average of 12 million video views per episode. Given the length of engagement, we are seeing across the Kind portfolio, we are generating strong mid-roll video revenue on Facebook, which is very encouraging. In addition to the audience growth, we are also seeing increased engagement in part, reflecting new mobile websites that we rolled out across all of our 109 local properties. We cut load times in half or better, now beating competitive benchmarks and we are seeing stronger year-over-year growth in mobile video views. Across the network, time spent increased 17% year-over-year and scroll depth on mobile devices group 86% year-over-year according to Chart B [ph]. Overall, we're very pleased with our continued progress in the quarter, across the important social and mobile channels. Finally, I want to highlight an important new addition to our consumer organization, Kate Gutman, who’s passion for innovation and strong experience will help drive the digital transformation of our consumer business. She will be focused on growing our content brands and experiences beyond USA TODAY and our local brands. Kate will oversee our expanding portfolio of niche passion brands such as Great Falls, Reviewed.com and the kind franchises I just referenced and will report directly to Maribel. Kate previously served as Vice President of Strategy and Digital Media and at A&E Networks International, where she was responsible for growing the company's digital revenue and leading A&E's transition to a multi-platform entertainment brand. We are thrilled to have her onboard. Kate is just another example of the talent we are recruiting to Gannet. With that, let me turn it over to Sharon for ReachLocal highlights for the quarter.
Sharon Rowlands: Thank you, Bob. We delivered another strong quarter, marked by solid execution and impressive product pipeline and the acquisition of WordStream. This quarter we reached a significant milestone as the ReachLocal business is continuing to achieve double digit revenue growth and realized its strongest adjusted EBITDA quarter industry. This highlights the value and scale created by the ReachLocal combination with Gannett. In quarter two, we experienced strong growth across key areas of the business. Digital advertising solutions grew 20% year-on-year and subscription solutions grew 29% year-on-year. Within digital advertising we enhanced our display solution with the launch of video capabilities and display delivered 17% sequential growth and 9% year-on-year growth. While, our North American client base held steady, importantly revenue per client grew 14% year-on-year and product units per client grew 11% year-on-year. We’re pleased to see our clients increasing their marketing budget spend on our platform and in the second half of the year on renewing our focus on new client acquisition. SweetIQ locations grew 42% year-on-year to 70,000 and we added several new large clients such as Pizza Hut for Australia and City National Bank & Trust, a large Midwest financial institution. We’re making continued strides in enhancing our digital solutions on the reporting front and delivered improvements to client campaign performance through the use of data science and machine learning. We're leveraging emerging technology such as voice and predictive modeling behavior to enhance our optimization algorithms and increase marketing ROI for our clients. Quarter three will see a number of new development projects go live across the field that we expect to be impactful. From the SweetIQ team, we will launch a listing store location and reputational management bundle to the Gannet channel, which we expect to drive volume growth in the second half of the year. Our media and solutions team will launch an innovative smart, social ad solution, which will dynamically utilize multiple targeting tactics and ad types to achieve each client's marketing goals. This solution is consistent with our overall strategy of using machine learning across our range of solutions to bring enterprise level sophistication to local businesses. As mentioned last quarter, we’re very excited about the initial launch of our new sales tool. We've begun rolling out our search budget builder [ph] that uses data insights and predictive intelligence to recommend appropriate budget supply campaigns. During Q3, we will be rolling our next major release of the sales tool. Our platform will do an instant analysis of a business’s digital footprint across its web presence, digital advertising and lead generation capabilities. We expect this to be a large driver of sales force productivity. Another key milestone this quarter was the closing of the WordStream acquisition on July 2nd. WordStream is now fully in part of Gannett’s marketing solutions group. It predominantly operates in the very large do-it-yourself to FMB and agencies and in complementary to the do-it-for-me spread [ph] to each local. As a result, we have effectively doubled our addressable market through this acquisition. WordStream has a tremendous reputation as an innovative software company with great client experience. They also have a very strong management team, which will bring tremendous value to our combined organization. While we’re in the early stages of integration, we're excited about key synergistic opportunities such as selling SweetIQ capabilities of listing and review management into the WordStream client and prospect base. Going forward, we’ll be reporting WordStream’s results in our ReachLocal segments. Finally, during quarter two, we closed the sale of our ReachLocal, Germany business and have signed an agreement to sell our Japanese business, which is expected to close in quarter three. Our strategy is to focus on the Americas, the U.K. and Australia and New Zealand. The full year annualized revenue run rate for Germany and Japan, is approximately 31 million, but the impact to adjusted EBITDA will be negligible. In closing, we had into the second half of 2018, as a much stronger organization. We've made solidly progress transforming the Gannett local markets, our range of solutions are more advanced than ever, and with WordStream, we're establishing ourselves to be the power house in digital solutions, across the local marketplace. With that, let me turn the call over to Ali.
Alison Engel: Thank you, Sharon and good morning everyone. We are pleased with our second quarter, which demonstrated continued digital advertising and marketing services revenue growth, as well as, year-over-year earnings growth, driven by strong cost management. Two quick housekeeping items to start. First, our second quarter of 2018 had 91 days as did the second quarter of 2017, so there are not any day adjustments this quarter. Second, we have renamed our advertising revenue category, advertising and marketing services to better reflect how we analyze our business-to-business revenues. As such, about $13 million in revenue, was recategorized from other revenue into advertising and marketing services revenue in the current period and about $9 million for the year ago. This revenue was primarily software subscription and services related revenue such a SweetIQs location based services, our SCO offerings and website development services. Now let's focus on our second quarter results. Consolidated revenues were $731 million compared to $775 million in the second quarter of 2017. The revenue decline reflects the challenge to print advertising and single copy circulation environment, partially offset by our digital advertising and marketing services revenue growth. Our full access subscriber pricing initiatives, the SweetIQ acquisition and a few publishing acquisition. On a same-store basis, total revenues declined 7.5% in the second quarter, consistent with the first quarter decline. Total digital revenues of $261 million, grew 8% in the quarter and represented 36% of total revenue, up from 31% a year ago. Adjusted EBITDA totaled $86 million for the quarter, up 2.3% from last year. We were able to offset the secular print revenue pressures with digital advertising and marketing services growth, in addition to cost reductions. Total same-store operating expenses fell approximately 8% year-over-year, reflecting production and distribution savings, due to facility consolidation and lower payroll and benefits expenses. These reductions were offset in part by higher expenses at our ReachLocal segment, associated with their higher revenues. Turning to the publishing segment, we were very pleased with the continued momentum we saw in our digital, advertising and marketing services revenues, which increased 6.4% in the quarter on a same-store basis, consistent with first quarter levels. Our domestic operations grew even faster, offset by some weakness at our Newsquest operations, as the U.K. economy remains challenged. Digital marketing services revenues experienced our fastest growth in the quarter, up 72% year-over-year on a same-store basis. We continue to see growth in our client count and are seeing increases in average revenue per unit. Since the time of launch in the second quarter of last year, we have grown our average number of products for client from 1.7 to 2.3, which is helping to drive higher ARPU. Within digital media revenues grew 4.9% on a same-store basis with a very strong national performance across both our premium sales, as well as, our programmatic channel. Categories showing particular strength include; financial, technology and telecom. Advertising solutions showing strong results include video, high impact display and branded content, where we had several key wins. On the advertising product side, we improved our owned and operated performance with the advertising call enhancements that sped up the delivery of high impact ads and improved mobile viewability by 10% to 15%. Finally, programmatic CPMs grew 10% year-over-year, driven by continued optimization of our programmatic step. As expected, digital classifieds continue to negatively impact our overall digital advertising and marketing services results. The employment category is the weakest, although we did show some improvement late in the quarter with new packages and pricing that were rolled out. If you were to exclude digital classifieds, digital advertising and marketing services revenues were up 15% on a same-store basis in the quarter. Same-store print advertising revenues fell 19.1% in the quarter worse than our first quarter decline, largely reflecting the shift of Easter between quarters. Looking at the first half of the year to isolate the Easter impact between quarters, same-store print advertising revenues fell 18.1%, consistent with the declines we saw in the second half of 2017. We continue to see some of the largest declines from our national preprint advertisers and also saw some incremental weakness at Newsquest. Switching to circulation, our same-store revenue trends were down around 5% consistent with first quarter trends. Our local U.S. markets are delivering the best results with revenues down only 3% as a result of our full access subscriber pricing initiatives. Single copy trends at both USA TODAY and within our local markets remain weak as we expected. Digital only circulation volume growth was robust in the quarter up 46% year-over-year, as we are aggressively targeting new digital subscribers. Early in the third quarter, we closed off most side door traffic from social and search channels that were allowing users to view content without hitting our pay meters. While it is still early, we have seen a marked increase in digital subscriptions, since making the change and have not seen a material impact our page views. In our ReachLocal segment, second quarter revenue, we reached $100 million, up 17% year-over-year, driven by strong performance of the migrated Gannett clients and organic core revenue growth. We're pleased to see ReachLocal’s second quarter adjusted EBITDA margins reach double digit at 10%, ahead of our expectations, driven by the continued scaling of platform revenue and the sale of Germany, which was slightly unprofitable last year. Additionally last year, our margin was negatively impacted by some of the ramp up costs, associated with migrating the Gannett clients. Our GAAP net income for the quarter was $16 million, up materially from a loss of $500,000 a year ago, reflecting lower facility consolidation and restructuring costs, as well as, lower depreciation and amortization. This also includes a gain on the sale of ReachLocal Germany of $1.8 million. Turning to the balance sheet, we ended the quarter with $337 million in debt, including our convertible debt and $170 million drawn on our revolver. We drew $140 million on the revolver at the end of the quarter in anticipation of closing on the WordStream acquisition on July 2nd. We estimate an incremental $3 million in interest expense for the rest of 2018 related to the transaction. On the pension front, when our Form 10-Q is filed later today, you will see $115 million reduction in our pension liability, which is related to our Newsquest pension plan. This reduction is a function of changing the inflation index, used to pay the participants from the retail prices index to the consumer price index. As such on a GAAP basis, our Newsquest plan was remeasured and is now in a surplus position. We changed the index as part of negotiations with the U.K. pension plan for our fees and authorities, which also included new agreed upon pension contributions that are slightly higher from our previous obligations. Capital expenditures totaled $14 million for the second quarter, reflecting investments related to digital product development, as well as, projects supporting our ongoing consolidations. There were no share repurchased this quarter and we paid $18 million in dividends. Turning to our full year outlook. We are raising our revenue guidance to $2.95 billion to $3 billion and raising our adjusted EBITDA outlook to $337 million to $345 million. We expect WordStream to contribute approximately $27 million in revenue and $7 million in adjusted EBITDA in the second half of the year. While adjusted EBITDA results were better than expected in the first half of the year, we are anticipating that higher newsprint prices will impact our second half results. We are pleased with the recent announcement by the commerce department to scale back some of the tariffs that have impacted newsprint pricing. However, we will still need to cycle through our current inventory, which was purchased prior to that announcement. Based on our strong momentum, we expect continued growth in digital advertising and marketing services revenues throughout the second half of the year. Finally as a reminder, compared to last year, our third quarter will have one additional day and our fourth quarter will have six less days and therefore anticipate year-over-year trends to be better in the third quarter as compared to the fourth quarter. With that, I will turn it back to the operator for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from a line of Michael Kupinski of NOBLE Capital Markets. Your line is open.
Michael Kupinski: Thank you. And thanks for taking the questions. I was wondering if you can go back to ReachLocal and talk a little bit about the sequential decline in the rate of our revenue growth from the first quarter, as you sold Germany and so forth. But does that happen in that quarter and then please kind of give me a flavor of what's going on there again?
Sharon Rowlands: Yeah, essentially it really is to do with the cycling of the Gannett - migration of the Gannett clients on to the ReachLocal platform. We got pretty consistent organic growth with ReachLocal and then you have the cycling of the Gannett clients onto the ReachLocal and now the growth rate off of those clients.
Michael Kupinski: Got you. And so it is that kind of like a good runway as we go into the second half of the year then?
Sharon Rowlands: It is. I think we're expecting consistent growth rate sort of 10% to 15% range. We still see a tremendous opportunity, I think we just scratched the surface of penetration of the Gannett client base and as we sort of bed the new sales organization down and get them focused on their segment. We really expect to be able to do a lot more acquisition onto the digital platform.
Michael Kupinski: Got you. And can you remind me again how much revenue did Germany account for --?
Sharon Rowlands: On a full year basis approximately $15 million run rate.
Michael Kupinski: Okay. Then --?
Sharon Rowlands: So, I think, sorry, Germany and Japan together on an annualized basis, it is about 31 million, but no EBITDA from that.
Michael Kupinski: Got you. And those were sold in -- and that should begin cycling in the third quarter. Is that right?
Sharon Rowlands: Well, the German acquisition closed in quarter two and Japan will close at some point in quarter three likely towards the back end.
Michael Kupinski: Got you. And then in terms of the WordStream acquisition, you indicated 27 million for the second half, is that tend to fall like 12 million and 15 million, Q3 to Q4, respectively?
Sharon Rowlands: That’s about right.
Michael Kupinski: Okay. And then in terms of -- I haven't gone through this, but in terms of the California legislation regarding uses of personal data. Have you guys looked into that to see if there's any impact on you, one way or another. Maybe there could be even a benefit, but I was wondering if you have any comments on that?
Barbara Wall: So, this is Barbara Wall, the Chief Legal Officer company; we are familiar with the California legislation, it's not due to go into effect until 2020. And you may have seen the reports on the Wall Street Journal earlier this week that there are discussions here in Washington about the possibility of privacy legislation, which for a long time there has been no progress on. And the speculation is that if that happens one of the reasons will be to preempt state legislation, like the California statute. So, I think it's a very -- it's a shifting landscape, we’re following it very closely. We don't expect any impact in the short-term.
Michael Kupinski: Great. Thank you. That’s all I have.
Operator: Our next question comes from Kyle Evans of Stephens Incorporated. Your line is open.
Kyle Evans: You know I have to ask my repetitive circulation unpacked unit volume and pricing please.
Bob Dickey: Maribel will be give you some color.
Maribel Wadsworth: Sure, absolutely Kyle. So, and thanks for your consistency, by the way. So, we continue to see our results as expected from our pricing strategy to date. We're seeing yield in the high teens to 20% range, which again is very consistent with our expectations. Our volume declines have ticked up to the mid-teens, but that's also expected and we're estimating some 4% to 5% of the volume decline are tied specifically to pricing. We're seeing our daily volumes impacted a little bit more than Sunday volumes, as some of our subscribers are choosing to downgrade to lower frequency of delivery, that align perfectly with our pricing strategy, which is intended to put our emphasis on key [ph] days as a week where we have our high concentration of both advertising dollars and leadership.
Kyle Evans: Great. And do you help me think about, what you might be asked from your consumer base second half of this year and just kind of squinting and looking out for the future in terms of absolute price increases?
Maribel Wadsworth: Sure. Absolutely. We're looking to see the second half or circulation overall a little bit better than the first half of the year, which is based on a few factors. First, of course, we have the continued benefit from the pricing you started in late September of last year. Second, we’ve seen really good success with the introduction of some special section for our subscribers and has been very positively received and so we're gaining some additional pricing in that and we're adding some in the back half of the year as well to take further advantage of that. We will also be doing some additional pricing on a smaller base of subscribers really focused on those subscribers who today are paying less.
Kyle Evans: Got you. Thank you for that. I may jump around here a little bit, I apologize. Where are we in terms of migrating the Gannett clients on to ReachLocal on a percent completion basis?
Sharon Rowlands: We are 100% complete.
Kyle Evans: There we go.
Sharon Rowlands: That was all completed last year.
Kyle Evans: Okay. Then no mention of newsprint in the release, you did mention it a little bit on the call in terms of the tariff and the pricing increases. Can you help us figure out when that hit the model, how it hit the model and how you think that will roll-through the model in the back half of the year please?
Alison Engel: Well, I think the second half price we might now based on what we’ve purchased at the prices we pay to be up about 30%. But what we've given in our guidance shows that we've offset that obviously through other things. So, we're waiting very anxiously for the August 28th ruling ITC to see where the rest of the tariffs fall out and then we can understand how this will impact us really in 2019 and beyond. So, we're very positively looking forward to that. Newsprint as we’ve said it makes about 5% of our cost base and I think we've done a good job of managing through what's been a very difficult environment over the past seven months, eight months. We're very pleased with where we are right now and look forward to seeing what happens later this month.
Kyle Evans: There's cost that you’ve used to largely offset that 30% price increase. Which of those would be specific to newsprint itself in terms of lighting the way in our products, changing providers et cetera.
Alison Engel: I would say we've not lightened the weight, we've done all of that previously Kyle, and I don't think we can go any lighter on what we're doing. I don't think we’ve really changed our product much because we've done so much pricing that we need to be very consistent with what we're providing to our consumers those cost actions that we've taken to offset, have been through other mechanisms, lower production and distribution costs, lower head count costs in other areas, lower professional services, just other things we've done to cut costs.
Kyle Evans: Got it. And lastly, instead of looking at the 19% on print with Easter affected, let's just look at the first half of down 2018. Could you unpack the pieces there and give me those segmented kind of growth rates?
Alison Engel: Yeah, hang on Stacy is pulling that out for me. If you look at there should be a table on the press release, a table for, that gives you right now, gives you for the quarter. Don't have the same [ph] off the top of my head, but that will give you directionally, you can see national is the [indiscernible] category of the bunch as followed by local and then classifieds.
Kyle Evans: Okay, but the pieces of local like, well, okay maybe we can do that offline. Thanks.
Bob Dickey: [indiscernible] breakup preprints versus --?
Kyle Evans: Yes, yes, I am.
Sharon Rowlands: Yeah, if you, let’s do that, offline, Kyle, we’ll give you a little more breakdown on that.
Kyle Evans: Great. Appreciate it. Thank you.
Sharon Rowlands: Sure.
Operator: [Operator Instructions] Our next question comes from the line of Doug Arthur of Huber Research. Your line is open.
Doug Arthur: Yeah thanks. Bob when you look at this digital-only subscriber count, I think the press release said 413,000 strong growth. What levers do you need to pull to get that figure into the millions. I think your Sunday circulation on a print basis is over 10 million I think as I remember. So, the audience obviously is there.
Bob Dickey: Our Sunday circulation is more like 2.5 million, on the print side. 10 million readers that is [indiscernible]?
Doug Arthur: That was the figure I was looking at. You have a big audience digitally and obviously, tons and tons of newspapers, seems like that number should be higher, I realize on the local paper side it's a tougher sell than the national paper. But is it -- is it marketing or is it just time to get that figure higher?
Bob Dickey: Well, I mean, to your point, we're happy with the 46%, we have growth. We have very aggressive internal goals over the next 18 months, but the levers are some of the things that Ali just mentioned. To date, we have been testing and reluctant to close the side doors and change our meters, but with the great job to growing our audiences that Maribel’s team has demonstrated these last seven months, we became very confident that we could do that, so we close the side doors. We are now tightening our meters in about 60 markets to test, I mean, about 30 markets to test how that plays out. And some of our markets will go as low as three articles. [indiscernible] we’ve hired from the New York Times, she’s been with us about a year, built a good team, starting to get great momentum, using the variety of marketing channels that she fully understands. So, we're seeing a better cost per order. We are moving our pricing. We were very volume focused previously. We are seeing a slight lift in pricing, but volume is still more important to us. I would say somewhere in that two year range, 18 months to 2 years our goal is to exceed the 1 million in subscribers and keep building on that. It's a different play in the local markets to your point than at the national level. We also have been doing a lot of local marketing, really great job by our local newsrooms to really focus on the value of digital subscriptions and digital-only subscriptions and we've seen some really, really good tick up in the right direction. Shout out to our market in Milwaukee, who's really just taking a really lead for the company. But Phoenix is doing better, we're seeing across the board as we become just more sophisticated, our newsrooms around using all the analytics available to us and we're making some product changes. As I noted, with the rollout of the mobile web that mobile improvements, we’ve just started to see and I think we're getting benefit on the digital subside because our load times are better. And then the other thing we're going -- we are contemplating in testing a possible ad free environment in a couple of local markets to see if that might be something of interest to the consumers at the local level. So, I do think we've got another 18 months to 2 years ahead of us to keep pushing hard to get to the million and then go from there.
Doug Arthur: And that number 413,000 does that include paid USA TODAY subscribers?
Bob Dickey: No, that includes the ad free paid subscribers, ad free app that we have that is a paid subscription, but it's a very small number at this point as it's just been rolled out. But that is local, its predominately the driver.
Doug Arthur: And then just one follow-up the digital media revenues of $69 million, up 5%. Is that predominantly video, I mean what is in that category?
Sharon Rowlands: It's a combination of our owned and operated with display with audience extension capabilities. Definitely some video within the display.
Doug Arthur: And what's driving the growth?
Sharon Rowlands: Better sales execution, and we've got very, very CPMs, particularly as we sell more direct programmatic versus just on the open exchange with actually realizing a better CPM and that’s really on the back of all the great work that’s being done on building a really strong audience.
Doug Arthur: So, its predominately, display then, not videos is what you are referring.
Sharon Rowlands: Yes.
Doug Arthur: Okay. Thank you very much.
Sharon Rowlands: Thanks Doug.
Operator: Thank you. I show no further questions in queue at this time. Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.